Operator: Please stand by, we’re about to begin. Good day, everyone, and welcome to the Xinyuan Real Estate Company Ltd. Fourth Quarter Full-Year Conference Call. Please note, today’s conference is being recorded. I would now like to turn the conference over to Mr. Bill Zima of ICR. Please go ahead sir.
William Zima: Hello, everyone, and welcome to Xinyuan’s fourth quarter 2014 earnings conference call. The company’s fourth quarter earnings results were released earlier today and are available on the company’s IR website as well as on Newswire services. Before we continue, please note that the discussion today will contain forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such our results would be materially different from the views expressed today. Further information regarding these and other risks and uncertainties is included in our registration statement and our Form 20-F and other documents filed with the U.S. Securities and Exchange Commission. Xinyuan does not assume any obligation to update any forward-looking statements, except as required under applicable law. Today you will hear from Mr. Yong Zhang, the company’s Chairman, who will comment on our operating results and provide some perspectives on the property market environment. He will be followed by Dr. Manbo He, the company’s Chief Financial Officer, who will provide some additional color on Xinyuan’s performance, review the company’s financial results and discuss the financial outlook. Following management’s prepared remarks we will open up the call to questions. During the Q&A session, Mr. Zhang will speak in Mandarin, and his comments will be translated into English by Ms. Helen Zhang the company’s Financial Controller. With that said, I would now like to turn the call over to Xinyuan’s Chairman, Mr. Zhang. Please go ahead.
Yong Zhang: Thank you, Bill. Good morning and thank you all for joining our fourth quarter and full year 2014 earnings conference call. We are pleased to end a difficult year with strong fourth quarter results with year-over-year concrete results, and revenue growth. Our revenue and profit recognition for 2014 was strongest in the fourth quarter despite the tough market in 2014. We still grew revenue and contract sales. Our 2013 [ph] Xinyuan is investing for a future development and growth. We launched 10 new projects in 2014 and acquired 8 projects outside of China, presale for our New York Oosten project remain active. We also express our thanks to our thanks to our shareholders for standing with Xinyuan. During this turbulent time in 2014, we distributed a dividend of US$0.05 per ADS each quarter and we purchased 4.5 million ADS in 2014. We believe 2015 can be productive year for Xinyuan. We view further to scale our operations and Xinyuan into a leading real estate developer in China. Now, please allow me to turn the call over to our CFO, Dr. Manbo He.
Manbo He: Thank you, Mr. Chairman. Hello everyone, welcome to join us today. First of all, allow me to review our key financials for the fourth quarter of 2014. The fourth quarter contract sales revenue and net income increased dramatically over the third quarter. Total fourth quarter revenues were US$362 million, a 121% increase from US$163 million recorded in the third quarter of 2014, and a 25% increase from US$289 million recorded in the fourth quarter of 2013. And contract sales totaled US$402 million, which is a 140% increase from US$167 million recorded into third quarter of 2014 and a 6.6% increase from US$377 million recorded in the fourth quarter of 2013. We started presale of four new projects which contributed 8.6% of contract sales in the fourth quarter. Additionally, existing project sales performed better than prior quarters due to the recent government policy to allow a mortgage rate for first time home buyers. Further, over 45 million in unrecognized contract sales from the previous quarters were recognized in the fourth quarter. Here I would like to explain a little bit further on this one, unrecognized contracts sales represented down payments of less than 30% of the paid for unit value, when the payments have reached to above 30% level, those unrecognized contract sales turning to recognized contract sales. Total gross floor area, the GFA sales were 252,000 square meters which is the 151% increase from third quarter and 4.3% increase from the same quarter last year. We started presales of four new projects which contributed 10% of GFA sales in the fourth quarter. The average selling price per square meter was RMB9,800 in the fourth quarter, compared with RMB10,272 in the third quarter of 2014. The decrease was mainly due to the implementation of promotions at certain projects to improve market demand and lower and certain newly launched projects. Our four projects in Zhengzhou contributed 35% of total GFA sales followed by our two projects in Jinan at 18%. As we look at the overall performance of the projects the profit market performed relatively better in Zhengzhou and Jinan compared to the broad property market. Gross profit for the fourth quarter of 2014 was US$96.1 million or 26.5% revenue, compared to a gross profit of US$43.5 million or 26.6% of revenue in the third quarter and gross profit of US$94.9 million or 32.8% of revenue in the same quarter of last year. SG&A expenses were US$53.1 million for the fourth quarter of 2014 compared to US$32.1 million for the third quarter this year and US$35.1 million for the fourth quarter previous year. As a percentage of total revenue SG&A expenses were 14.6% compared to 19.6% in the third quarter and 12.1% in the fourth quarter of 2013. The increase of SG&A expenses compared to third quarter was mainly due to four new projects beginning presales and the year-end bonus accrual in the fourth quarter. In addition, we recognized loss on extinguishment of debt of US$10 million, due to the redemption of TGP-gongorno [ph] notes. Net income for the fourth quarter of 2014 was US$23.8 million compared to US$7.8 million for the third quarter, and US$31.6 million for the fourth quarter of last year. Net margin was 6.6% compared to 4.8% in third quarter of 2014 and 10.9% in the fourth quarter of 2013. Diluted earnings per ADS were US$0.34 compared to US$0.10 per ADS in the third quarter of 2014 and US$0.36 per ADS in the fourth quarter of 2013. Now, let’s look at the balance sheet. As of December 31, 2014, the company reported US$509.4 million in cash and cash equivalents, compared to US$553 million as of September 30 of 2014. Total debt outstanding was US$1.5 billion, an increase of US$117 million compared to US$1.39 billion at the end of the third quarter of 2014. The balance of the company’s real estate property under development at the end of the fourth quarter was US$1.7 billion, compared to US$1.59 billion at the end of the third quarter of 2014. The operational update, the balance of our real estate property under development at end of the fourth quarter increased to US$1.7 billion reflecting 18 active development projects with another six projects that are expected to commence presales in 2015. As of December 31, 2014, our total saleable GFA was approximately 3.08 million square meters, representing both active projects and projects in the planning stage, reaching a new record for Xinyuan. We commenced presales of four development projects in the fourth quarter, Xingyang Splendid II, Zhengzhou Splendid, Sanya Yazhou Bay No.1 and Xi’an Metropolitan. The four projects contributed 10% of the total GFA sales in the fourth quarter. In addition, we acquired four parcels of land in Zhengzhou and one in Tianjin for total GFA of 800,000 square meters, at total cost of US$229 million. The floor price of our Zhengzhou land parcels, averages approximately RMB2,000 per square meter. While the average selling price of Zhengzhou project adjacent to the new land parcels average approximately RMB7,000. And the floor price of Tianjin land is just a little over RMB1,000. Going forward we will continue to focus on existing cities in which we operate targeting higher margin projects of our future development, particularly in Zhengzhou and Jinan. The company’s New York Oosten project has a total GFA of 37,000 square meters. As of December 31, 2014, 75% of the concrete superstructure has been completed. We are scheduled to top out the entire superstructure in the first quarter of 2015, while work on the mechanical, plumbing and electrical systems have been carried out simultaneously as planned. We started presales on a limited scope in the third quarter of 2014. Pre-sales are proceeding well at a smooth but controlled pace, while we’re trying to balance the number of contract sales with strategically planned price increases given the pricing uptrend in the New York City housing market. As of December 31, 2014, the total contracted amount was approximately US$90 million. Now, I will run through our financial results for the full-year of 2014. For the year ended December 31, 2014 total revenue increased by 2.5% to US$919.7 million from US$897.7 million in 2013. The GFA sales decreased by 5.5% to 629,000 square meters from 665,000 square meters in 2013. Contract sales increased by 4.1% to US$1.041 billion from US$1 billion in 2013. Gross profit was US$242.2 million, or 26.3% of revenue in 2014 compared to a gross profit of US$299 million, or 33.3% of revenue in 2013. The Company commenced presales on 10 projects in 2014, while certain projects’ margins were lower given the softer market environment. Our SG&A expenses were US$145 million, or 15.8% of revenue, compared to US$85.2 million or 9.5% of revenue in 2013. The increase in SG&A was mainly due to new project promotions and an increase in headcount related to business expansion efforts. Net income was US$48.5 million in 2014 compared to US$126.4 million in 2013. Diluted earnings per ADS were US$0.66 in 2014 compared to US$1.70 per ADS in 2013. Overall, we experienced a challenging property market through 2014. In spite of these challenges we were pleased to achieve an increase in contract sales over the prior year. We commenced pre-sales of ten projects in 2014 of which four projects we acquired in the ten year, mainly Chengdu Thriving Family, Changsha Splendid, Sanya Yazhou Bay No.1, and the Xi’an Metropolitan. The company’s fast asset turnover strategy has strong execution capability, our overall strength in challenging market condition. We remain confident about our future prospects and repurchased approximately US$4.5 million ADS in the market at a total cost of around US$17 million in the year of 2014. Additionally, our board approved the payment of total dividend of US$0.05 per ADS in each quarter for a total of US$0.20 per ADS for the year of 2014. As we look at our opportunities in 2015, we intend to acquire projects that can be more profitable and largely focused on cities in which we currently operate, relates to criteria of land acquisition and maintain an ROI above 15%. We also plan on evaluating our financing opportunities to lower overall project expenses. And our current financing cost for construction loans ranging from 5.8% to 9.1% and trust loan ranging from 10% to 12.5%. So an average our overall financing cost is around 10%. So that’s the year-ending result, as I just reported and I’m going to spend a little time give out the forecast for the coming year. And I would like to remind the listeners that as our Bill pointed out that all forward-looking numbers may have some material difference from the reality and the management is doing its best in those forecasting. However, due to the versatility nature of the market especially for Chinese real estate market, those numbers may dramatically change. As of now, the best forecast from the management looking ahead, we do see the overall real estate market recover and we believe the macro real estate environment continues to stabilize. And with our continued focus in existing cities along with our flexible growth strategy and solid execution and stringent cost control, we believe that 2015 can be a productive year for Xinyuan. For the first quarter of 2015, the company expects contract sales to reach approximately US$210 million to US$216 million. And our first quarter revenue in the expected to total US$210 million to US$215 million, while net income is expected to reach approximately US$4.1 million. For the full-year, the company expects contract sales to reach US$1.8 billion. The full-year revenue is expected to total around US$2 billion. While the full-year net income we expect it to be at US$90 million to US$95 million. Again, please note that those projections are subject to change given the market environment. So this concludes our prepared remarks for today. Operator, we are now ready to take some questions. Thank you.
Operator: Thank you. [Operator Instructions] We’ll take our first question from Stella Li with Morgan Stanley.
Stella Li: Hi. Good morning, management. Thank you very much for your very good presentation. I have three questions. The first one is, could you please run through your cash flow in 2014, how much cash you received from your contract sales, and then how much cash you’ve spent for land acquisition? How much for construction, and then SG&A interest et cetera?
Manbo He: So, Stella, I think all those numbers you can actually get from the disclosure, we have on the full statements disclosed on it, you can follow those numbers there.
Stella Li: I think we can get to the disclosure about the total contract sales in 2014, but I wonder how much cash actually we received from this contract sales?
Manbo He: For the full-year of 2014, you want the full cash flow statement?
Stella Li: I’m asking for the 2014, yes, among the total around US$1 billion contract sales we recorded, how much cash actually we received?
Manbo He: I mean, the cash received from all those sales, all those numbers, we currently have it on all those cash flow statements.
Stella Li: Okay. So you are suggesting where - we’ll wait for the cash flow statements - free cash flow?
Manbo He: Yes, the four - yes, we have the four numbers on it. I can give you - the - for the RMB number I can give you a four-amount [ph]. Our cash received from sales is RMB6.4 billion…
Stella Li: Okay.
Manbo He: And that’s why we had received in cash for the full-year.
Stella Li: Okay.
Manbo He: And for the land spending, that’s what you are asking right?
Stella Li: Yes, yes.
Manbo He: For the land spending we spent RMB6.1 billion, all those done in RMB.
Stella Li: Okay.
Manbo He: All right.
Stella Li: What about construction cost and then SG&A?
Manbo He: The construction spending, we spent RMB2.87 billion. All right. Well, those numbers you want it?
Stella Li: Yes. Okay. Thank you.
Manbo He: Okay. Yes, okay.
Stella Li: And do you have a projection for, or a budget for 2013, how much you plan to spend to acquire land and also how much you spent for the construction for 2015?
Manbo He: Yes, for 2015 actually, because we are in a higher expectation for the sales. We will expect a more positive cash inflow from the sales side. However, given the uncertainties in the real estate market, we are very conservative in terms of spending on acquiring new land. At this moment, those numbers may be very much subject to change of the market conditions. However, as of now we are expecting our land purchase in 2015 to a similar level as we did in 2014.
Stella Li: Okay.
Manbo He: Yep.
Stella Li: And also construction would also be similar to 2014?
Manbo He: Yes, construction will also be - but on that part, it’s a little bit different, because we do need more units to fill to satisfy the market demand. So on that side, actually on the construction side, we will be spending more than we did on 2014.
Stella Li: Okay, understand. Thank you.
Manbo He: Yes.
Stella Li: And my second question is amongst your, roughly, US1.5 billion total debt as of December 2014, so apart from US$400 million bonds, what are the breakdown of the rest of US$1.1 billion? How much is construction loan and how much is trust loan?
Manbo He: So the spread actually the trend - our construction loan and the trust loan is about one to two. So for the rest, you can approximately estimate, roughly, one-third of it is for the construction loan and the rest is trust loan.
Stella Li: Okay, I see. And then for the short-term loan - the short-term debt that are due within a year, roughly, how much percentage is trust loan and how much is construction loan? Is it also like one-third, two-thirds…?
Manbo He: Yes, it’s very familiar to the long-term. So it’s about the same.
Stella Li: Okay. And then for the refinancing of the trust loan this year, as the company going to sign you trust loan, or may consider other funding channels?
Manbo He: Well, actually that is a very good question. As we are going forward to tackle new market opportunities, we are also trying to find new ways to finance our project, which also including getting into some kind of equity corporation with other organizations to losing up the pressure on our financing side. So we are going to maintain our current finance activities plus some new more creative and more productive ways of financing our new projects.
Stella Li: When you are saying other organizations, do you mean other property companies, or maybe private equity funds, or other finance institutions?
Manbo He: Actually, at this moment, we are open to all kind of corporation as long as it can give us the opportunity to tackle all those opportunities that’s going to be available on the market.
Stella Li: Okay. Okay, that’s very good. And my third question is, do you have any gearing or leverage target, it seems that as of December 2014, the leverage of the company was a little bit high, so just wonder if you have any longer-term to try to bring down the leverage to a certain comfortable level?
Manbo He: Of course. Actually, the short answer to that question is, yes. We are actually trying to, as I just mentioned that we are trying to lower the cost of our overall financing cost and also we are trying to open to some other ways of financing our project, which can lose up the pressure on the company’s balance sheet. And in terms of the gearing position of the company, even though, we are not at - as low as we would expect compared with all the other developers in Chinese market, Xinyuan’s provision is actually relatively good. And we management are actually working on all different ways trying to keep the company’s financing situation as healthy as possible. And we are confident that going into 2015, our total financial position will improve, that’s the plan.
Stella Li: Okay, that’s very good to know. Thank you very much. Can I just confirm, previously you mentioned around one-third of the debt were construction loan and then around two-thirds were trust loan?
Manbo He: Yes, that’s aside from the overseas loans.
Stella Li: Right, right, understand. Okay, great. Thank you very much.
Manbo He: Yes, that’s all right. Thanks, Stella.
Stella Li: Thank you.
Operator: [Operator Instructions] We’ll take our next question from John Szwed [ph]. He is a private investor.
Unidentified Analyst: Hello, everybody. Congratulations on the great results, and thank you for the detailed introductory explanation. I have only one question. Do you have any new international project plans that you are working on in 2015?
Manbo He: Well, actually development into global market is always a status for company, and we are constantly looking for any new opportunities. However, we are very, very careful in making sure that any new projects, especially overseas projects well-fitting to both the strategy of the company’s development to action, and also the profitability criteria as we required for all our investments. And that will be an ongoing process.
Unidentified Analyst: Okay. Thank you very much.
Manbo He: Okay. Thanks, John.
Operator: [Operator Instructions] We’ll take our next question from Erb Singh [ph]. He is a private investor.
Unidentified Analyst: Hello, good morning. Thank you for the excellent presentation. My question for you regards the disconnect between what I think is a - the fair value of the company, and what the market is valuing the company at? And after much of that my thought was, has management considered floating the underlying shares on another exchange, which may have a better appreciation for the value of the company in its long-term potential, so as to diminish the difference between what the market is currently valuing the company at and what’s the underlying true value is?
Manbo He: Well, I think the management is an agreement with your observation that we too believe that the company is severely undervalued. And because it is a very, very big matter at this adjusted, whether the company should consider changing our lifting location. And that has to be decided by the board and also has to be approved by all the shareholders, I would imagine. So I - well, I appreciate and understand and agree with your opinion, it will be very difficult for us to give you a very clear answer on that question to-night. But as times goes, I think, we maybe see some movement on that subject. But again and up to-date, I really have no answer to that question, sorry about that.
Unidentified Analyst: Thank you.
Manbo He: Okay. Thank you.
Operator: [Operator Instructions] And we have a question from Brett Mayo with Genesco Incorporated.
Brett Mayo: Yes, hello.
Manbo He: Hi, Brett Mayo.
Brett Mayo: Hello, Dr. He. My question was - I know that you mentioned that the shares are severely undervalued, and I tend to agree with that, but I guess, this is a question for yourself, Helen can chime in and the Chairman as well. What do you guys feel like would be a fair value for the ADS, the American Depository Shares like, I mean, should the stock trade at book value, or do you guys have an internal gauge, I mean of what you think, and I know it’s not going to be an exact figure, but of what management kind of believe the share should trade at?
Manbo He: Well, Brett Mayo, I think you’ve read a very, very good, but very difficult question. I do believe the management of the company including the people you just mentioned, me, Helen, and both the Chairman, we all expect that the company will be valued at a much higher and a much better condition, whereby we can really give our shareholders a very good valuation through the market. However, I just would like to share my observation a little bit with you. I think there are two problems now that the company is facing. Number one is the Chinese real estate market is a very versatile market and especially for the last two years, and also the capital market being the state and outside of China by and large, this is not very knowledgeable in my opinion forwards the dicitration [ph] of Chinese real estate market. And that created some dramatic problems for our stock price. And secondly, the whole global economy when you consider the Chinese factor into it, it’s making the judgment under fair value of the company like Xiuan [ph] on the U.S. Stock Exchange more difficult. To the expectation of the management of this company, we do see the trend that we are very confident that the business of Xinyuan is getting, I should say, we have talked the most difficult times. And we are seeing the trend of recovering from the end of last year, and also we do see the turnaround of this market sometime later this year. So that’s why the company is confident that we will be able to give the market some more reasons to better value and to better reflect our value through the stock market - through the stock price.
Brett Mayo: Yes, sorry, that’s a good explanation. And I think, given the external pressures that of the Chinese real estate market and trying to expand essentially in place your balance well, it’s kind of the market was going down. I think management did a phenomenal job of steering the ship through that. And I generally agree with you that the outlook seems more stable and that, as a shareholder, that’s exciting for me.
Manbo He: Thank you.
Brett Mayo: One, I guess, a follow-up question to that would be, do you guys ever discuss or expect to expand like shareholder rights at the - holders at the ADS American Depositary Shares get the vote on like compensation matters or board members, dividend policy, et cetera, or is that, because I think when I get my proxy statement this year, the only item on it was to whether or not we want to adopt Ernst & Young as the outside auditors again, do you guys ever talked about maybe expand in those rights and that, maybe that would have a positive effect as well on the share price?
Manbo He: Well, obviously I think the company is listening very carefully to all the opinions, suggestions advised from our shareholders. However, as we are running this company with a large group of shareholders, many decisions like that will be reviewed very carefully through over the management of the board and also the, maybe in large by the shareholders meeting to discuss the suggestion you just raised. But again I can assure you that the company, including the chairman and all the top management here are open to all the suggestions advised from shareholders, and we will make our best effort to meet all the visible requirements from the shareholders.
Brett Mayo: Thank you, sir, and, again, to all of you all, congratulations on a great quarter. I think you beat the net income figure by 300% or something like that as far as what was projected last quarter. So awesome quarter. Thank you for your time. And look forward to holding the stock for many years to come. Thanks, sir.
Manbo He: Thank you, thank you very much.
Operator: Thank you. We’ll take our next question from Shinwenbou [ph] with Credit Suisse.
Unidentified Analyst: Hi. Thank you, management, for the presentation. I just have one question regarding the recent consent registration. Just wondering how much you actually received in regard to the consent?
Manbo He: So actually, we received very overwhelming positive response from the holders. And the numbers is actually higher than what we previously predicted. So that we do have the support from our note holders, this is the right thing for the company to do, especially on such a difficult time for the market, for the industry-wide.
Unidentified Analyst: Do you mind, disclosing the specific percentage?
Manbo He: For the 2018 notes, if I remember, correctly we got over 75% and for the 2019 notes we’ve got over 85%.
Unidentified Analyst: Okay. Thank you. And does the company have any specific plan for relaxing the different covenants for the consent solicitation?
Manbo He: So I think as you can see from the disclosure we made along with the consent solicitation. The change of the restriction to us is not necessarily for the company to expand our financing activity. Actually it’s more for a safety consideration, so that the company can operate in a much more supportive environment. For instance, after the change of the restrictions, the company will be able and now we are able to issue more dividends. We are able to buyback more shares, which give the company more flexibility, and showing to the market and showing to our shareholders, the confidence of the management and also to support all to kind of payback to the shareholders that the company is doing our best to uphold the shareholders’ value. So in terms of the flexibility thing more financing hurdles [ph] for the company which is also an added room for the company. When we see the opportunities on the market, the company will have the resources to capture all those opportunities. So that’s the main consideration, why the company did that at this time.
Unidentified Analyst: Okay. I see. Thank you.
Manbo He: Thank you.
Operator: Our next question comes from Trung Nguyen with Lucror.
Trung Nguyen Dang: Hi, congrats on the result. I just have a few questions. The first is you have almost US$900 million debt maturing this year, almost US$300 million in short-term bank loan and the rest which is the current portion of your long-term bank loan. How are you going to refinance this or how are you going to fund this part. And second question is, what is your average borrowing rate especially for the trust loan? And third, it’ll be great, if you can give some guidance on your cash flow - expected cash flow here? Yes. Thank you.
Manbo He: Okay. All right, so on the first question for the refinance of our current debt, actually at the company’s growing concern as we just mentioned we are going through our new project every year. And which actually is rollover of our loans, because most of the loans are best on our project. So as we go into new projects we’ll get new loans and as we started collecting money from the sales of the project, we will pay back the old loans. So it’s a continuing process. So the refinancing of all those loans, we don’t see any problem. And especially have at level of the gearing for the company at the moment. We don’t see any problem for 2015 or the following year and that’s on the refinancing portion of the question. And the second part of the question is regarding the rate for those loans. As I pointed out in my remarks minutes ago that on average our trusted - our construction loans interest rates ranging from 5.8% to 9.1%. Under the trust loans, interest rate ranging from 10% to 12.5%. And overall, the average financing costs for the company is around 10%, which is actually right, I would say, okay, for the industry. And the last question about cash flow filtration actually, the company maintains a very strong cash flow position, whereby in principal, we will always have enough cash to support our passion for, at least, US$3 to US$6. And that’s the top line company to hold through all times, and that part will continue, and we will always make sure that our cash flow situation is health and chunk.
Trung Nguyen Dang: Thank you.
Manbo He: Okay.
Trung Nguyen Dang: I just - maybe can you give a bit more color on the cash flow. How much do you expect it to receive, how much are you expected to pay in terms of construction and [indiscernible].Yes.
Manbo He: Okay. All right. I think I’ve answered part of that question in the previous caller, but I’ll repeat here again.
Trung Nguyen Dang: Okay. Thank you. I joined the call late, sorry.
Manbo He: Okay, okay, no problem. For 2015, actually our expectation was actually our revenue, our contract sales will be around RMB12 billion. And of that, we expected to collect cash from the sales about actually that amount. So it’s also about RMB12 billion. And out of those cash proceeds, we’re planning on spending on land purchase, as I mentioned before, pretty much settled up to what we did in 2014, which is about around RMB6 billion in land purchase. And for construction spending, we’ll be a little bit lower than the land purchase. But it will be higher than what we spend on construction payment in 2014, due to the much higher sales which will demand more input of more spending in construction side. So that’s a raw picture for 2015. Does that answer your question, Trung? Yes.
Trung Nguyen Dang: Yes, yes. That’s very helpful. Thank you, and congrats on the results again.
Manbo He: Thank you. Thank you very much.
Operator: Our next question comes from Erb Singh [ph] who is a Private Investor.
Unidentified Analyst: Hello. Thank you for taking another call. This follows on regarding the Board of Directors. I know that with Mr. Walton and Wertheimer passing off the board, I was wondering how the Board is going to go about offering its composition and what sort of characteristics the Board is looking for an additional leadership?
Manbo He: Well, as you know from all of the press release that our two Directors of the Board had resigned last year for their personal reasons. I think, it’s very clear that both two gentlemen, almost 70 years of age. And it will be too much to handle for our Directors at such an age, because the company is going through a very, very dramatic growth path and which demand a lot of contributions from everyone involved, including our board directors. As to your questions regarding the characters of our board members, which is obviously is a matter for our broad and shareholders to decide. However, I do believe that the company is at this moment looking for professional guidance and professional advice through different areas. For instance, in the industry of real estate development, we do need professional advice and also resources in helping the company going through our growing path and also in terms of proper governance, in terms of company financing. We also need experienced professionals who can help the company from the board, as well as the company is also tackling all opportunities of our overseas market which also requires our board members in provide some professional help and to bring more resources to help the company expanding. I do believe that the company is looking for all those talents and resources and professional mind to join our board and when we have making any new progress on that it will be reported to the market.
Unidentified Analyst: Thanks.
Manbo He: Okay. Thank you, Erb Singh.
Operator: There appears to be no further question. Thank you. I would like to turn the conference over to our management for any closing remarks.
Manbo He: Okay. If there are no more further questions. I would like to take this opportunity to thank each and every one participating in this conference call and for your continued support to the company and management. Thanks to everyone.
Operator: Thank you. That does conclude today’s conference. We thank you for your participation.